Operator: This is Shitara. Thank you for joining the online business results presentation of Yamaha Motor Company Limited today. Due to the reduced production caused by parts shortages, including semiconductors, we are asking many dealers and customers to accept delays and we are extremely sorry for this. We make our utmost effort to deliver a product as soon as possible. Now I present the first quarter business results, Please turn to page four. First, let me walk you through the business summary for the first quarter. In the first quarter sales grew and profit fell, and they were in line with forecast. As for the key points by business, motorcycle business had production constraint for premium segment models. The sales volume was secured by switching to the producible models and sales increased but profits decreased. In marine product business, we focused on our strengths, large outboard motors and sales and the profit increased. In robotics business, due to production and logistics delays, sales decreased, but improved profitability in Yamaha Robotics Holdings lead to higher profit. As for outlook for FY 2022. Regarding operating environment, inflationary trend will continue with raw materials, parts and ocean freight fees among others and supply chain disruptions will continue due to COVID 19 related shutdown in Shanghai. The latest depreciation of yen works positive for the company. As for the markets, strong demand in businesses and markets will continue and the recovery using emerging market will progress. But we need to ensure the solid supply to meet the potential demand. As for enhancement of profitability under the tough operating environment, we'll strive to enhance profitability by concentrating resources in strategic regions and models of each business. And we will mitigate rising costs through expense reductions and a partial passing on cost to prices. Please turn to Page five. Unit sales by main products are shown in comparison to FY 2021 and 2019. Inventory is compared to that of the end of December 2021 and shown by percentage. As for sales, sales of outboard motors fully utilized, production has been continuing have increased and the recovery in Indonesia has been progressing steadily. Region and products feature negative year-in-year are all affected by production delays due to power shortages and the short of ships and containers. Sales of PAS and the Surface mounters are weak, but they are temporary drops and in general that demand is firm. Motorcycles inventory level in emerging markets, which are significantly affected by the production delays still remains low. Please turn to Page six. Let me explain the overall business results. In the table from the left, the first quarter results in the benchmarking the year of 2019, 2021 and 2022 are shown. And on the right the comparison with 2019 and 2021 are shown. In 2022 net sales were ¥481.7 billion, 108% of the previous year. Operating income was ¥40.1 billion, 83% of the previous year. Operating income ratio was 8.3%. down 2.5 percentage point from the previous year. Ordinary income was ¥45.7 billion, 86% of the previous year and net income attributable to owners of the parent was ¥32.6 billion, 78% of the previous year. Despite supply constraint through production shift to producible models and strategic location, we were able to maximize sales. And foreign exchange served as a tailwind to boost sales. But operating income decreased due to continued high raw material prices, part shortish and continued to logistic disruptions. Actual foreign exchange rates were ¥116 to the dollar and ¥130 to euro and the emerging countries currencies rates against the U.S. dollar are described in the table. Please turn to Page seven. This slide shows the first quarter operating income variants factors by segment from 2021 to 22. Factors by business and growth strategy expense and exchange effects are listed here. Robotics business increased profit by ¥0.6 billion due to higher sales and improved profitability by Yamaha Robotics Holdings. Profits in all other segments declined excluding foreign exchange impact. In land mobility business, profits decreased sharply by ¥10.9 billion year-on-year due to worsening model mix caused by cost increases and the impact of part shortages. But it was in line with a plan. Please turn to Page eight. This is the operating income variance alliances by factor. As shown here, sales increase contributed ¥5.4 billion, and its breakdown is scale increase was plus ¥2.8 billion, price hike and others was plus ¥5.8 billion and logistics cost increase was minus ¥3.2 billion. Cost reductions were plus ¥5 billion. But cost increase in raw materials and semiconductors and others were minus ¥17 billion. Increase in growth strategy expenses was minus ¥0.9 billion, increasing SG&A including personnel cost and product quality related cost was minus ¥8.7 billion and exchange effects where plus ¥8 billion. We will control the impact of rising cost and SG&A expenses including personnel cost by steady implementation of cost reduction and price increases. Please turn to Page nine. Let me explain the progress of medium to long-term measures. In March, we announced the introduction of two types of electric scooters. The first one is Neo’s 2.5 kilowatt class electric scooter utilizing our removable battery design. It is scheduled to market release in Europe in June and then for ASEAN markets in stages. Second one is E01 8.1 kilowatt class electric scooter with a fixed non-removable battery. And this is our first in-house developed electric scooter equivalent to 50 to 125 cc class gasoline powered models, either one is highly practical escooter model with driving performance for the inter [indiscernible] mobility and it is to be deployed for business, local municipalities government to be used in the demonstration test to grasp customer needs, first to relevant business potentials and explore new market in building EV infrastructure and sharing business. In Yamaha Motor Group environment plant, 2050, we announced the target to achieve 90% reduction of CO2 emission vis-à-vis 2010 in scope three, that is mainly CO2 reduction at the time of use of our product. These electric scooters are strategic models to be launched in the market to achieve the target. Please turn to Page 10. We launched our new mobility service business in India. We engaged in asset management business through these motorcycles and contribute to improve the quality of people's life by creating job opportunities. As for low-speed automated vehicles, automated transport service eve auto was introduced as a trial introduction in prime polymer Anesaki works factory, this is the first full scale trial introduction except our factories. In agriculture automation, we invested in Brazilian agricultural startup our ARPAC, which provides the integrated solution from the development of agriculture drone to services. We aim to build a foundation of global agriculture business in future through crop spraying agricultural drone business. Finally, as for carbon neutrality, five companies, which include NLs and Japanese motorcycle companies established our new company [indiscernible]. It aims to provide a sharing service over standardized swappable batteries for electric motorcycles and building the infrastructure for them and we contribute father to realize circular society. Please turn to Page 11. Let me explain shareholder returns. Our shareholder return policy is total payout ratio of 40% range in cumulative total for the midterm planned period and taking into consideration their business outlook and investment for future growth, we will make consistent and stable dividend payment and based on the level of our cash flow, we have distributed returns to shareholders in a flexible manner. This time in order to improve shareholder returns and capital efficiency, we are now implementing share repurchase of maximum ¥20 billion, acquisition period is from April 1 to June 23. We continue to enhance shareholder returns. Next I'll explain the details by business segment. Please turn to Page 12. Net sales and operating income by business are shown here. I will explain details by business segment in line with the business portfolio classification shown in the midterm plan in the next page and onward. Please turn to Page 14. This slide shows core business, motorcycles and land mobility business as shown on the left, and the chart shows sales by region. In 2022, sales in developed markets increased due to continued firm demand and sales volume will increase in Europe. In Asia, volume decreased due to parts shortage except in Indonesia and China. But due to foreign exchange impact, sales increased in Latin America and others volume increased in all regions and sales increased. As a result, sales in motorcycles increased but model mix worsened due to supply shortage in premium segment models and profit decreased. Marine products business are shown on the right, a chart shows sales by product. Shipment of outboard motors are still delayed due to containers and the ship shortages, but we focused on large outboard production and sales as a result. 100 plus horsepower model sales increased and that led to increasing sales and profit. Please turn to Page 15. RV in land mobility business as shown on the left. In 2022 despite the reduced production due to Omicron variant pandemic and delay in parts deliveries, we concentrated resources on our Mac series, ROV key model and mainstay product and the volume of ROV increased. Share of recreation category has been rising and that lead to sales increase, but due to cost increase in raw materials and personnel cost profit decreased. Financial services business that supports the core business is shown on the right. The receivable increased in Brazil and Europe and they drove up sales. Operating income was benefited by the one-time factor reduced allowance for doubtful accounts last year. And this year profit decreased year-on-year, but high level of operating income ratio is sustained. Please turn to Page 16. For the growth business, SPV in land mobility business as shown on the left. 2022 series was significantly affected by parts shortages and other logistics delays that lead to reduced volume and sales decreased and profit side, profitability deteriorated affected by cost increases. And due to the quality related cost concerning past battery recalls in Japan, which was announced the other day, short-term losses were incurred. We sincerely apologize for causing concerns and the great inconveniences for customers. Robotic business as shown on the right. Volume of surface mounter decreased due to parts shortages, including semiconductors and the serious delays in logistics. Sales of Yamaha Robotics Holdings increased, but the sales of entire robotics business decreased. On profit sight, profit increased due to improvement in marginal profit ratio through price hikes and improved profitability at Yamaha Robotics Holdings. due to external factors, top-line in gross business failed in the first quarter, but both businesses will recover in the second quarter and onward. We will pursue the scale expansion as a source of cash generation of the next generation. That concludes my presentation. Thank you for your attention.